Unknown Attendee: All right, Cameron, I think you are good to get started now if you're good. 
Cameron Chell: Sounds great. Thanks, [ Erika ]. And welcome, everyone, to the Draganfly Earnings Call and Shareholder Update Call.
 We appreciate everybody taking the time to hook up with us today. It's been an exciting and incredibly intense quarter, and we appreciate all your participation and interest in Draganfly. I'm just going to do a share screen now, if that's okay. So just give me 1 quick second, and I'll just pull this down. Excellent.
 So just to give everybody a heads-up. This is a disclaimer, if you can take the time to read this. This presentation, for its most part, is also available on our website as well. There's a few additions in here which are just, of course, the updated financials which we'll review.
 Basically, for those of you who may not know, and just a review for others, that -- Draganfly is often recognized as the oldest commercial drone manufacturer and service provider in North America. And we are a leading and rapidly growing drone manufacturer and solutions provider, and we're in a strong financial position. We boast a strong artificial intelligence and data analysis capability, which is one of our strategic differentiators and we see key to the future of the drone industry. We also have a strong IP complement and various R&D activities. Our new product development is really driven by customers. And this is a -- something that's -- fortunately for us but maybe unfortunately for the industry, is really driven by customers because we have a plethora of customers that we're working with. So we don't spend a lot of money on ideas and trying to come up with concepts of how to get new customers and get across the chasm and get signature customers and get adoption. We're really developing products right now that are all completely driven by customers.
 Now for the most part, this is because of a couple of key factors that have happened in the industry. First of all, over the last 24 months, in particular in the last 18 months, there's been what's known as regulatory clarity. And Draganfly has been around for quite some time, often as a contract manufacturer or a service provider, but about 2 years ago, we made the very conscious decision to really be building our own product and brand strategy. And this is the key reason as to why, because we saw that regulatory clarity was finally coming. We've been in this business now for 20 years plus. And lots of times, there's been lots of excitement about the drone industry and where it was going to go and how it was going to unfold, but through each one of those cases, we really saw a lack of regulatory clarity and not for any reason against certainly the regulators. I mean they were really taking a strong look at how drones are going to fit within our infrastructure, within the airspace and even within the economy. And it's been the last 18 months in particular that we have seen that, which was our real indicator to say, okay, now it's time to become a product and services company and build our own brand in this space. We felt we had the background and the capability to become that #1 or #2 provider in the North American space. We've seen lots of companies in the past try this who are well financed and that just the timing wasn't right. And so we've taken that 20 years of experience and now, hopefully, put it into the market at the right timing.
 We also see incredible government and corporate sentiment having shifted towards North American manufacturers. And this is really along the realization that drones can collect data; or do functions better than almost any other device, in particular collect data. Now -- so that makes them a security risk if not potentially handled right, so we've seen a big policy and sentiment shift back to North American manufacturing. Now this doesn't really equate in the consumer space. In the consumer space, the offshore manufacturers would still be relevant. And even in the light commercial space, they'll still be very, very relevant and in fact dominant, but when you get into that medium and heavy commercial space, that's really the area that Draganfly plays in and that's where the opportunity now exists. And there is only a handful of North American-based manufacturers and none with the depth of experience that our team has.
 So between those 2 factors, we really see a strong environment going forward. Now back in the '90s, we were obviously very focused on hardware and cut our chops on aeronautical engineering and such, but then as the 2000s emerged and we saw drones starting to look for applications, look for places to be useful, we've started to focus much more of our attention on software and sensors. And so we had a full decade-plus of developing software and sensors and autopilot systems and incredible ways to collect the data, but now drones are all about 2 particular buckets that are [ enmeshed entirely ]. And those 2 buckets are either delivery or data. And in order to do delivery or data, you have to proficiently be able to execute on autonomous operations and AI. And I think that what you'll see maybe through this presentation and through some of the customers that we're onboarding is that Draganfly is very well positioned in those particular areas to embrace and, hopefully, lead the future of drones.
 In terms of industry outlook, I'll just spend a quick second here. Currently the industry is about $20 billion, according to most reports that we've been able to see, but it's important to note that the vast majority of that, probably 90% plus, is military, with 10% of that being consumer and some light commercial. And really that $20 billion delta that's looking to be gained or made up over the next 5 to 7 years is really in the medium to heavy commercial space, which is exactly where Draganfly is positioned.
 Just in terms of our business model and our growth strategy. Basically we call our growth strategy right now [ operation keep up ] because everything right now is all about managing inbound inquiries and being able to choose which customers that we're going to be working with to provide the most amount of growth and ROI for our shareholders. We've spent the last 20 years selling and educating, and the turn in the last 18 to 24 months has been palpable in terms of that inbound and the type of work that we get to pick and choose.
 So we have a full contract engineering and manufacturing base, which allows us to attract customers from all walks of industries. We are able to really satisfy everything from A to Z in that regard, and that's really what companies are looking for in a big part. Companies aren't looking for a drone. Companies are looking for what a drone is going to do. And now that there's regulatory clarity, what we see is that companies and industry in general are saying, "Hey, here is the use case. Here is what I'd like to accomplish. Here is the ROI I'd like to get to. Can you do it?" And now it's not a matter of picking a drone. It's a matter of picking a solution provider, so we have a full product and -- development and sales. So we have multi-ring -- multi-rotor products. We have fixed-wing products. We have controllers. We have ground robots. We have everything that a customer could need and want and the experience at commercializing and deploying those -- that equipment for them. Also, in terms of our services, we have mapping, survey, data collection and delivery services in each one of those areas and each industry that we go into. Whether it's forestry or energy or delivery, we have strategic differentiators. In the case of mapping, for example, we have a proprietary AI system that enables battery metal companies that are looking for battery metals -- not just for us to fly magnetometer readings over their properties but actually use our AI in conjunction with Windfall Geotek to actually determine the specific drill spots on that prospect property. Now that's the type of differentiator that we bring to the table and helps set us apart. We do believe, over the next number of years, we could be the largest repository of battery mining data in the world simply because of this strategic differentiator.
 And that's where our data services falls in. More and more, we're finding that our customers are asking us to house and manage their data for them. When we fly missions and deliver that data to them, which it often involves our AI, we are delivering terabytes of data. So similar to how AWS, Amazon Web Services, built their own infrastructure to manage their data and then discovered that they had customers requesting that infrastructure, we're now finding the same thing. And while 5 years from now you'll, hopefully, know Draganfly as the #1 drone company in North America, underneath all that, it will be one of the largest data providers and service execution companies in North America.
 As mentioned before, we have a full product line from multi-rotor to ground robots, to fixed-wing aircraft, to horizontal flight -- horizontal -- vertical take-off and horizontal flight devices. We have a full contingent of flight services in each one of those verticals. We are strategically differentiated. And we've demonstrated our ability with our AI to actually commercialize products that customers have brought to the table with us, in particular our Vital Intelligence technology which enables a sensor being a camera to read things like heart rate, respiratory rate, blood pressure and SpO2 levels.
 Our greatest strategic differentiator is our customers. One, we've got a full base of referenceable customers. I think I can say without overspeaking here that every one of these customers is referenceable and a repeat customer. They vary, everything from rail to media; to manufacturing; to energy; and of course, our stalwart, which is public safety. We've sold over 9,000 drones to public safety organizations throughout the United States.
 Just to touch base a bit on our Q2 highlights. And we were able to complete a long and arduous process, with excellent advisers by our side, and have now listed on the national NASDAQ stock market. It's already providing, yes, incredible opportunities for us both in terms of business development and M&A. We have ongoing advancements on the definitive agreement with Woz ED with expanding potential products and services, including curriculum. Our Integrated launcher solution contract, we finalized the definitive agreement to develop a drone-based nonlethal air support defense system, and that product is well underway. And we're seeing, yes, incredible market opportunity there with ILS. Windfall Geotek, we did sign a $1 million contract with them. The utilization is about 3 months ahead of schedule. And that's fueled in large part by the [ nano ] battery metal boom that's happening and the amount of work that they're facilitating for mining companies out there.
 We engaged with organizations like Nashville Superspeedway to provide our full drone-based health security services. And on the delivery side, with Coldchain, we've actually started implementing Phase 1, which is a $750,000 contract which is only phase 1 of a 5-part phased project that we're doing with them to deliver emergency medical services and vaccines to first responders.
 Our IP portfolio is currently at 23, and that's because we're 23 years old. So we typically bring out 1 patent per year. We treat most of our IP as trading secret because we find that the industry copies it quickly or tries to innovate on top of it very quickly. So we're a little bit cautious of how we bring that out, but we continue to innovate very aggressively. Some of the current initiatives that are underway that you'll be hearing more about are the heavy-lift drone that we've got underway, which will be used for both emergency medical equipment and services and other products as well; also our full LiDAR system, which we're really excited about and see strong market demand for. And we're also deeply into drone curriculum with multiple educational institutions out there who are looking to educate either pilots and/or engineers in the drone space. These are all initiatives that we think are going to be substantive to our top and bottom line and on an ongoing basis. And again these are all customer-driven. These are but a small sampling of the amount of work that we have ongoing currently.
 Just to touch base on our market comparables. We think that, in terms of market comparables right now, we are trending in the right direction. Paul Sun will talk here shortly about our financial results over the last quarter, but if you take a look at our public market comps: We're definitely at the low end of the scale in terms of the multiple, yet now that we're now in NASDAQ, we do believe that we will start to see that price appreciation based on the fact that we are delivering results stronger than we believe our competitors are and will continue to do so, in our opinion.
 Just to touch base on the financial summary. We had another strong quarter, $1.9 million, up over 100% year-over-year. And I'll have, I'll let Paul talk a little bit more about that. We have a very strong balance sheet. In Q2, we had $17 million on the balance sheet. Of course, in Q3, we did close a $20 million financing, so there is close to $40 million on the balance sheet currently. With this new financing, as of today, we have 42 million shares fully diluted and 32 million shares issued and outstanding.
 At this point, what I'd like to do is I'd like to turn it over to Paul Sun, our CFO. And he can walk us through our key financial highlights for Q2 2021. 
Paul Sun: All right, thanks, Cam.
 Let's just get this going here. Okay, so yes, as Cam kind of showed you on an earlier slide, our highlights for the quarter. Q2 of this year was driven by product sales predominantly coming from Candrone, an acquisition we closed on April 30 of last year. So the quarter last year only included 2 months of Candrone. Of the $1.98 million sales for the quarter, $1.49 million of that came from products, with the balance pretty much split evenly between drone services and engineering services.
 The gross profit increased by just under $300,000 or 69% this quarter over the same period last year and as a percentage of revenue was 37% this quarter versus 47% in the same quarter last year. Some products, of course, have higher margins than others, so the decline in margin this quarter was due to the sales mix.
 The net loss and comprehensive loss for the 3 months ended June 30, 2021, includes a noncash change in fair value of derivative liability for USD warrants of $4.8 million relating to the company's Regulation A offering; and would otherwise be $3.2 million and $3.3 million, respectively, which is quite reasonable given the recent increase in professional costs relating to our NASDAQ uplist that Cam just spoke about. Following that, loss per share will be approximately $0.02 versus the reported $0.06 on our financials.
 And we -- as Cam mentioned, we ended the quarter with $17.3 million in cash.
 On the middle slide -- if you [ flash ] to the next slide, Cam, yes. In the middle column there is our -- is kind of a snapshot of our balance sheet. And here you can see our total assets increased substantially for the end of this quarter to that of the end of fiscal 2020. That was $42 million versus $7.1 million, which is largely from the closing of the Regulation A financing, along with the booking of closing of our Vital Intelligence acquisition which we spoke about in Q1 of this year. The working capital as of June 30 would have been surplus of $19 million if we exclude that noncash change in fair value of derivative of $46 million from those USD warrants in connection with that Reg A offering. And as you can see, we have minimal debt.
 On the table on the far right. Because we already kind of spoke about year-over-year changes, in this table we talk about quarter-over-quarter changes between this quarter and Q1 of this year. So again, Q2 revenues of $1.98 million increased by 29% over $1.53 million of Q1 earlier this year due to stronger product sales. Gross margin percentage for Q2 was 36.8% compared to 33.4% in Q1 2021. Increase this time was due to sales mix of the products sold. And operating expenses for Q2 decreased by 31% from Q1 of this year due to lower marketing and investor relation fees.
 And finally, the total comprehensive loss for Q2 2021 was $8.1 million compared to $44.9 million in Q1 of this year. And as mentioned, if you'll recall, Q1 2021 had that big loss due to the initial accounting treatment of that $41.8 million noncash liability from USD warrants that were issued during the company's Reg A offering. And without that, the loss would have only been approximately $3.9 million, which again is quite reasonable given the context of this quarter versus the last quarter.
 And with that, I'll pass it back to Cam. 
Cameron Chell: Thanks, Paul, appreciate that.
 So in summary before we get -- turn it over to Scott and some Q&A. Basically Draganfly is definitely in a rapid financial growth [ pace ], and in my opinion, we certainly don't see any end in sight.
 So we're continued with new contract wins in multiple industries. 2020 was a breakout year, and 2021 is actually trending much, much better, so as a percentage of growth, I'm confident that we're going to be able to continue with this -- continue at a very rapid pace. We're providing advanced drone services and solutions. So there's a lot of companies [ out there ] right now that are talking about doing drone services and solutions, that are coming up with great designs, that are implementing with an odd customer or 2, but we're talking about in-the-field, advanced, reliable product lines with proven track records and are scaling. And these are the things that are counting to North American-based companies in general but not exclusively, but in the North American market this is what counts as who has done the work before and who can scale to the requirements that are now coming down the pipe.
 We are in a heightened regulatory and very active drone market, and the wind is at the back. The FAA is very favorable for the drone industry right now. They're providing clear guidance. And they are an open door to experienced companies that are working with real customers. We are finding that, if you are bringing real customers with real opportunity and practical use cases to the table, they're extremely eager to work with. And we have a seasoned executive team complemented by a fantastic engineering staff and a Board of Directors that's certainly for this size of company second to none, so we feel really optimistic about where the company is at today and where potentially we are pointed to for the future.
 With that said. I know there's a number of burning questions out there. We've had a very, very busy quarter. We look forward to an even more active quarter that we're tactically in right now, and the quarter after looks even busier, and -- but on that note, what I'll do is I'll turn it over to our President, Scott Larson, to help facilitate some Q&A.
 Scott? 
Scott Larson: Yes. Thanks very much, Cam, and Paul as well.
 As mentioned, I'm the President of Draganfly. And certainly want to pass on my own welcome to everybody who's taken the time to join us this afternoon.
 [Operator Instructions] Feel free to ask questions. We've answered a bunch of them. There's other questions that came in prior to the call. And so of course, we're trying to do this in a little bit of real time here. 
Scott Larson: So just to get into some of those questions that haven't been answered in the ongoing Q&A, 3 or 4 different groups of questions that kind of came in. We've already answered a number of them with regards to some of the current customers and some of the things that are going on, but maybe, Cam, we'll just throw this back to you: Now that the company has gone through the latest round of financing and has been uplisted to NASDAQ, what was -- when you were having your discussions with the investors as part of the financing, what were some of the key use of funds that you guys talked about? And what do you think that looks like over the next 3 to 6 months? 
Cameron Chell: Yes, sounds good. That's a great question. So as mentioned earlier in the presentation, our growth strategy right now is [ operation keep up ]. And that's really all about just making sure that we satisfy the inbound select customers that we are in a very, very fortunate and gracious position to be selecting right now. And so use of proceeds is all about product development for those particular customers, so in some respects you could say it's all about customer acquisition. Now that said, there's 2 ways for us to satisfy that customer demand right now. One is internal organic growth, which we're very aggressively pursuing right now. And that includes expanding facilities, hiring people, et cetera. The other side of that is acquisitions.
 And so there's 2 types of acquisitions that we're keen on right now. One is IP acquisitions. Now the IP that we're looking for has to be IP that we need to use right now to satisfy a customer. In terms of developing IP for the future, we're fairly comfortable and confident in continuing to do that, and so that's what we'll continue to do. However, if we do have requirements for an immediate customer, we are looking at particular pieces of IP that will give us a strategic position and, moreover, look after that customer requirement first. The second type of acquisition that we're looking for right now is all about capacity. How do we increase our services and our manufacturing capacity to meet demand? Now there's no other drone companies [ of size ] that can really move the needle out there that we can go buy in North America. However, there are other supplements to our manufacturing that we are looking at. So things like advanced composite design, advanced electronics, advanced engineering [ shops ] that all can supplement our existing and our expanding manufacturing facilities. So overall, the shorter answer to that question is it's all about customer acquisition, which is about product development based on what customers are asking for, so that's going to be manufacturing organically and increasing our people there and then looking for the right acquisitions that can help drive revenue and ROI. 
Scott Larson: Yes, okay, thank you. Another question that's come in is, any plans for international expansion? And if we've had any opportunities. And I can -- I'll just take this one myself. I think, yes, I mean, we -- as Cam mentioned and as most people on this call know, of course, the company started in late '90s in Canada. And since then, we've expanded our footprint down into the U.S. We have a couple different locations down there. And I can say, with regards to international, we're looking at a number of opportunities. And these would be, in fact, all over the world. The regulatory environment is different in other parts of the world, which makes some things easier and some things perhaps a little more difficult, but certainly with regards to using drones, UAVs in other parts of the world for some of the use cases that in fact we've talked about a number of times, which would be for deliveries; agricultural farming; even in some cases border patrol or light surveillance, if you will. The types of drones that Draganfly has and, frankly, working on are great fits for that. So I think, over the next little bit, [ we would like ] to be coming out with some updates on that with regards to some of the things that we're doing internationally and perhaps even more specifically with regards to some of the things were mentioned before about drone deliveries and different sensors and being able to wrap in some of the IP that we have here.
 Another question that's come in is, "Which sectors do you think will benefit the most from your drone solutions, mining, government and so forth?" I think that -- I mean that is the question, and I think it probably goes back and forth a little bit with regards to different incoming calls that we get. I think fundamentally, at the end of the day, we think drone deliveries are obviously a key market moving forward; and then, we think, being able to attach different sensors to the UAVs, to the drones to come up with different data sets. And we're doing a fair bit of work on that with regards to mining right now. Agriculture has been a key component of our heritage; and then even more in that, into first responders; and the civil aspect of it, fire, police and so forth. And so I think broadly it's drone deliveries and then different forms of data collection, but those markets are growing. And within each one of those sectors, you've got different niche segments that we think we can compete, not only compete but actually own, but yes, broadly speaking, there are -- we're staying as focused as we can within those categories there.
 A couple questions here about uses of cash. I think we've addressed that. It's in new product and M&A. Yes, a few more questions here, actually a little more specific on the M&A. And I think we're a public company, of course. We put out updates and disclosures as things happen, as agreements are signed, as they become material. I don't think it would be prudent at this point to say exactly what those acquisitions look like, but we've talked about it a number of times. It's certainly on the public record that acquisitions in the sector where there is some consolidation going on is a key -- is a strategy of Draganfly. And so I think we'll hold off some of those answers until we get to that point, but we're working hard on it. I think that's probably the right way to say it.
 Maybe we'll take a couple more questions here. And Paul, maybe I'll throw this one to you, if possible. Given the rise in the costs of drones, how are we managing those costs in line with sales and marketing? And what do we think that looks like into the future? And obviously we don't want to give any guidance here, but maybe talk a little bit about what the margins are looking like and if [indiscernible]. 
Paul Sun: Sure. Thanks, Scott. Yes, obviously we've seen, especially with COVID, there's been a rise in materials globally on our drones. A lot of the benefit of trying to flying is it's -- everything is created in house and end-to-end. Obviously we do need to use materials such as carbon fiber. A lot of that stuff is produced in house, so from an inflationary perspective on the materials that we use, we haven't seen a large impact, so far. Knock on wood. So from that perspective, it hasn't really impacted margins too badly. From a big scheme of things, generally we have higher margins on things like engineering services, where with our customers material is a direct pass-through, anyway. So that's a hedge against rising costs because we don't pay for that, anyway. We just charge for labor, as an example. And of course, that's basically all margin.
 When it comes to manufacturing, there is a little bit of a hit, but we tend to go for -- depending on the product, it could be anywhere between 25% and up to 50% in terms of margin on those products, again depending on if it's a camera, if it's a gimbal, whatnot. So anyway, long story short, so far, not a big impact. And now that we're on NASDAQ, that does give us some currency and some funds to properly manage. I think I saw some questions online about us having a relatively small employee count, which is true, but we are, with these funds, in part starting to scale up. So in part with that, it's not only will we be adding engineers and salespeople. That will dovetail to more marketing as well for our products. Thanks. 
Scott Larson: There's a number of questions that have come in with regards to warrants and things like that. And some of them are quite technical, and we'll get into touch with brokers and so forth. And so I just want to encourage anyone who has technical questions with regards to their shares or accounts or so forth to -- certainly if you want to reach out to our investor relations line, information is, of course, on the website, yes. Some of that, we can help you walk through. There was even a question on here that's come in with regards to the symbol. For anybody who doesn't know: The symbol is DPRO. It changed, of course, as part of the NASDAQ uplisting. And so more of a technical issue there.
 Let me see here. Maybe we'll just take one final question here. I want to be -- certainly we have time and thank everybody for their time. And I'll -- Cam, I'll throw this one back to you, which is can you talk about autonomous navigation and how complex it is. Can we do pickup and delivery? And what is the extent of the autonomous opportunity? And so looking forward. Perhaps not so much where things are right now, but looking forward, what do we see the drone industry could look like in terms of delivery? How autonomous is it? What does the regulatory environment look like? And perhaps, how can Draganfly find its way through there? 
Cameron Chell: Yes. It's a great -- that's a fun question. So we think Draganfly really has some distinct advantages in this particular area mostly due to the military contracting work that we've done over the last number of years. So the type of autonomous projects that we've had the opportunity to participate in and work on are things like "autonomous delivery of blood on the battlefield" scenario; or counter-drone technology, where we've got drones flying at hundreds of miles an hour autonomously, working in conjunction with radar systems and LiDAR systems to shoot [ Kevlar nets ] out and capture intruder drones [ and hold them on a theater ]. This is the type of work that we've been able to do that the commercial market won't even see for a couple of years yet and that we have not only been live in real scenarios working on them but are actually commercializing them in some regards for different customers and such. So this is the -- this is absolutely the future of drones, and it's why you have to have that autonomous experience. [ Maybe ] real-world experience is a lot different than programming an algorithm in this regard, that the variables are just unlimited. Now the other side of this is regulatory, and the third side of it is use case.
 So the regulatory complexity and clarity around that is still yet to come, but I -- from somebody who's deep, deep in the interview -- excuse me, in the industry -- you'll see it coming, and we have a very strong sense of where it's going. And those early-adopter customers, which are some huge namesakes out there, they're also on the leading edge of that because this is a way for costs to drop significantly, if you can imagine the inspection of power lines or infrastructure or emergency response, all of it being able to be done with less and less manpower or to help supplement manpower in those situations. So autonomy, you'll require, I mean, a ton of experience doing, yes, [ but a lot of ] AI experience and a lot of engineering experience. And it's not something that it's -- that's very few companies are going to have the opportunity to learn this on the job, so we've got a distinct advantage of where this is going to go.
 In terms of the delivery space itself. The retail space, which is what gets most of the attention, we'll have some early wins in it. And there's a couple of really great namesake companies out there doing some incredible work in this regard right now. However, the -- our view is that the implementation of retail will be 10x the size anybody anticipates, but it's also going to take 2 or 3x, maybe 4x, as long. And so we want to be a little bit careful because we think there's a lot of companies that are going to blow their brains out doing that retail delivery thing. And just as we saw, the whole drone industry took a lot longer, but it's much bigger than we thought. However, if we look at the light and the medium commercial space, so emergency delivery, cargo, ports, those types of things, that's where there's real application right now. And generally it tends to be a little bit more heavy lift than what retail would have expected as well. And so in those confined areas, autonomy is a lot more predictable, if you will. And so that's where we'll see some of the early implementations of it as it relates to delivery. And of course, no drone flight will happen without the collection and analysis of data. 
Scott Larson: Thanks very much. We have had about 50 questions that have come in, which is an awful lot. I think we've answered a chunk of them. Some of them -- I don't think we're going to have time to get through all of them. Some of them are obviously quite specific. I think it's now just about 40 minutes into the call. I think -- Cam, why don't we take one more and then a bit of time for -- I mean another 4 or 5 minutes here, and then we'll wrap up after that. 
Cameron Chell: Sounds great. Scott, I'd love to -- maybe if -- while you're picking one there: There's one in particular I'd like to address here but -- because there's kind of a bit of a theme here about the price and the stock and those types of things. So can we discuss why we priced what we priced when we listed on NASDAQ and such? And I think there's a couple of overriding factors that are probably relative and probably great to be understood. First of all, in the month of July, though the markets tended to do quite well, approximately 23 of 32 small-cap offerings were underwater in that month, all right? And of those, of all of them, there was only 2 that were even up 10%. So the broader institutional market who we were very fortunate to attract and become investors of ours now were just being probably a little wobbly about the whole space in general. And so that, it's a big factor when it came into it. And we certainly had demand for a lot more capital but didn't take all of it. And then the second piece of that is you have to remember that in February we had closed a financing, a $17 million financing, at $0.47, with a $0.71 warrant on it. So many institutions were looking at this like, "Wow, we like this so much." We're doing a financing above where there's a warrant out there that still has a year [ or so ] available on it regardless of the fact it was locked up and stuff. So -- and it's amongst 8,000 shareholders, but that being the case, it was -- from a pure financers' perspective, they knew they were giving us a premium on this.
 And so one of the questions I know then becomes -- as I'm reading it here. "So why do you take the money at all? You have a pretty strong balance sheet." But I think it's really important to understand that our main competitors are not actually the public comps out there. Now in my opinion, we're the best public comp out there and we are going to get rewarded for it. We just have to continue to produce the results, which we have a track record of doing and we're going to continue to do, but the real competitors out there are a couple of the really big VC-backed and big private equity shops, the [indiscernible] of the world which have a couple-billion-dollar valuation and a couple hundred million dollars on their balance sheet. We can compete with those folks, but in order to do it, we do need a certain amount of fuel in the tank. We believe, with this additional $20 million, we've got that fuel in the tank. And we believe that the NASDAQ listing was so important, all right, in terms of customer credentials and in terms of just credibility with our shareholders and regulatory scrutiny that we've checked all the boxes and we pass muster-ed. And we operate our business and govern it in a certain way. Those are the things that are going to allow us to become a $1 billion company.
 So while it hurts us, because we're large shareholders, as much or more than anybody out there, the reality is it -- we did have to take stock and really just kind of take a step back and say, "Where do we want this company to go?" What is the most responsible decision for our shareholders? And we believe that we've taken that step. And we do think that we have the basis now to build a multibillion-dollar company. Now there's no guarantees and -- or anything in life, but we're well positioned. And if we look at our comps out there and if we look at the public market, we think we're the right company [ to make that better ]. 
Scott Larson: Yes, good answer. Maybe I'll take one more, and actually I'll answer this one. So there's a question here about what is the share price going to be in 1 to 5 years. And of course, we're a small company. We're not giving guidance. We're certainly not giving guidance on revenue and we're certainly not giving guidance on share price. I think the point of what this called to do was to try to certainly have everybody have access to the same information. As Cam mentioned, we just went through a financing; met with well over 100 and perhaps close to 150 different groups, investors, some large, some small; and walked through primarily this deck here. And what we wanted to do was obviously to have everybody on the same page. This deck is also posted online but just to give a little bit of the color and the context that some of the institutional folks have; and to make sure that the knowledge base of people who are following Draganfly, who have been watching us for the last little bit, who are looking at this space and trying to figure out the best way to get into it have a certain level of knowledge and information that, frankly, everybody has. And so this was the point of it, and we're certainly not giving guidance.
 I think, from our people sitting inside the company, we're optimistic, of course. We like the balance sheet. We like the opportunities. We like some of the things that have happened. And we're working hard to execute on the plan that's been presented and the vision that we've laid out and the vision that we keep talking about with regards to customers and growth and being able to execute with the things that we do. And so I think we're going to get into a bit of a cadence with these type of calls after we come up with quarterly reports. Some of them might be a little more formal. Some of them might be a little more free flowing like this one here, but again we thank you for your time. I think, with that, I'll pass it back to Cam. And we'll wrap it up and go from there. 
Cameron Chell: First and foremost, I really want to thank the team, both management and the rest of the team members, who have made all of this possible. I know we're all incredibly excited about the projects that we get to work on and what we're bringing to market for our customers. We really want to thank the investors and the shareholders in particular, that you're making this possible. We clearly understand that we're working for you. We're very focused as a shareholder value type company. And we appreciate the fact that you're following us and will consider -- continue to consider us as an investment of yours.
 On that note, we'll sign off. And we look forward to another great quarter. Thanks.